Operator: Good afternoon, and welcome to NuScale Power’s Second Quarter 2022 Earnings Results Conference Call. Today's call is being recorded. All participants are in a listen-only mode. After managements’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] A replay of today's conference will be available and accessible on NuScale’s website at ir.nuscalepower.com. The web replay will be available for 30 days following the earnings call. A telephone replay will also be available for seven days through a registration link, also accessible on NuScale’s website. At this time for opening remarks, I would like to turn the call over to Diane Hughes, Vice President of Marketing and Communications. Please go ahead, Ms. Hughes.
Diane Hughes: Thank you. Welcome to NuScale's 2022 second quarter earnings results conference call. With us today are President and Chief Executive Officer, John Hopkins; and Chief Financial Officer, Chris Colbert. Please note that although, the merger was Spring Valley closed on May 2, this report and our 10-Q will cover the entire three and six months ended June 30. The income statement includes only NuScale expenses. We are not including Spring Valley's expenses prior to the merger and they had no expenses subsequently. We issued the earnings release earlier today, which can be found in the Investor Relations section of our website at ir.nuscalepower.com. We'll reference the release while conducting today's call. Before getting started, I'd like to refer you to our Safe Harbor disclaimer regarding forward-looking statements, which is included in the press release. During today's call, we will be making forward-looking statements, which reflect our current views of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in our S-1 and other filings with the SEC. Also, during this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts to the comparable GAAP measures are included in the earnings release and SEC filings. I'll now turn the call over to John Hopkins, NuScale’s President and Chief Executive Officer. John?
John Hopkins: Thank you, Diane, and good afternoon, everyone. We're excited to be reporting second quarter results in inaugural quarterly report as a publicly-traded company. I will cover our accomplishments both in terms of business development and in spreading our message about nuclear energy's compelling role in a clean energy transition. I will also highlight recent business developments in the context of our five key near-term strategic objectives. Then my colleague, NuScale’s CFO, Chris Colbert, will provide a detailed update on our financial results and reaffirm our outlook. We are enthusiastic about the future of nuclear power and specifically the role NuScale will play in that future. We reached an important milestone on May 2 when we closed our merger with Spring Valley Acquisition Corp. becoming the first next-generation nuclear energy technology company to list our shares in the U.S. market. As a first publicly-traded SMR technology provider, we have even more opportunities in venues to make our case for nuclear, especially modern small scale nuclear as a safe, clean, and economic source of cost effective, 100% carbon-free base load power. We believe NuScale is a pure-play on a critical emerging trends in clean energy, specifically zero-carbon base load in next-generation nuclear technology. We appreciate the strong interest from investors. We intend to keep working aggressively to meet our operational and financial milestones, build our business and change the landscape of clean energy. Now more than ever, the world needs more clean energy sources and we believe NuScale is primed to fulfill this need in a disproportionate way. With the tripling of natural price, gas prices in some areas and the rising threat, the energy security around the world, the need is even more urgent for reliable, clean electricity produced from nuclear. Just let me give you some examples. Based with a fragile electrical grid in the prospect of summertime blackouts, California agreed to earmark hundreds of millions of dollars to buy power from fossil fuel plants that are scheduled to shut down as soon as next year. Tesla is telling its customers an ERCOT, the Texas’ grid operator to charge their cars only at night. Russia has reduced natural gas flowing to Europe in an Nord Stream 1 pipeline down to 20% of capacity. And Japan is facing brutal heat waves without efficient energy to meet demand. Renewable such as solar and wind are important to our energy future, but they're not the whole story. Every day more people are realized in the necessity of nuclear power. To combat climate change, we must replace greenhouse gas intensive fossil fuels with emissions free energy. Nuclear is the only base load solution. NuScale’s SMR can deliver base load power and load follow, better supporting grids that are reliant on intermittent solar and wind generation. Now I will discuss our Q2 accomplishments and what we foresee for the months ahead. Best way to do this is to use the context of our five key strategic objectives for 2022, which we shared on our June business update call. As a reminder, our five year near-term objectives are one, we intend to secure our next committed customer by year-end. Two, we intend to issue long lead material specifications for the nuclear reactor pressure vessel. Three, we intend to complete the reactor building design. Four, we intend to submit a standard design approval application to the U.S. Nuclear Regulatory Commission for the VOYGR-6 module power plant that UAMPS plans deploy. Five, we intend to complete our standard plan design, which will also refer to as SPD throughout my remarks. Now let's look at the progress you made in Q2 towards each of these goals. First, we continue to build a potential customer pipeline. The progress is solid at our anchor customer, UAMPS, in the U.S. and we continue to strengthen our six relationships around the world. Moreover, we have 18 signed and active MOUs in 11 countries and nine strategic relationships. Some of which I'll discuss in a moment, customer opportunities in a pipeline are now at over 100 and we are happy the level, the discussions we are having across the board. Looking overseas, we have highly concerted efforts in Romania. On June 26, the U.S. government committed $14 million towards a front end engineering design study, in Romania that could lead to the deployment of our VOYGR-6 nuclear power plant. This eight month effort, which is expected to cost $28 million in total will include contributions for Romania SA Nuclearelectrica and other industry participants. The project will provide to Romanians with key site specific data needed for the deployment of our power plant, such as cost, construction schedule and licensing details. Furthermore on May 23, the United States announced, it will provide Romania with a NuScale small module reactor, SMR simulator for Romania to establish an E2 Center at University Polytechnica in Bucharest. E-2 Center will further Romania's goals of becoming a leader in secure and safe SMR deployment and an SMR educational and training hub in the region. This project is already underway. We are working with the university and planning coordination and infrastructure needs. We're also currently working to organize a supplier day event in September to further support our efforts in Romania. During the quarter, we also made great progress in Poland. On July 8, our Polish partner, KGHM a leading copper and silver mining conglomerate and large industrial energy user submitted to their regulators at application to assess NuScale’s technology. Meanwhile, our proposal for the full scope of work has been issued to KGHM and is now under review. In early August, we expect to receive the tender offer and statement of commencement for the licensing work and start negotiations on the full scope. To support the licensing process, KGHM, intensely provide Polish regulators with updated licensing and safety reports by the end of October. To remain on track with this goal to choose a potential site for the end of the current year. All-in-all, we are pleased with our progress towards securing that second committed customer by year-end. Second is the long lead material specification for the reactor pressure vessel. One of the major components to the NuScale power module, which was completed in May. In addition to supporting our ability to place long lead material, our orders. This also represents early completion of another milestone in the DOE development program. In addition to material specs, we have initiated certain pre-manufacturing activities ensure that we can support client manufacturing schedules. We executed the upper RPV forging, die purchase with Doosan in April of 2022, to prepare for the start of manufacturing. We also completed physical testing of the steam generator tube installation, demonstrating progress on our manufacturing readiness. We have completed negotiations with PAR Systems on term sheet for manufacturing procurement of the reactor building crane. In late July, we announced an agreement with National Technical Systems to establish an equipment qualification test chamber, which will allow us to qualify components that meet U.S. Nuclear Regulatory Commission and plant-specific requirements. The initial FXM-19 forging trial was completed this July and an additional forging manufacturing trial is currently underway. We also completed pressure sensor proof of concept testing. The key takeaway from all of this activity is that NuScale is extensively focused on readiness, by actively engaging with our manufacturing partners in completing fabrication tests for first of a kind components. I would go so far as to contend that no other Western SMR developer is better prepared to start plant construction than NuScale. Moving along to our third objective, we completed some key elements of reactor building design. We issued the revision zero reactor building structural design on July 1 and another milestone completion for a DOE development program. Fourth, we made progress on critical activities that support the standard design approval application for SDAA. This included delivery of reactor building crane design inputs, completion of reactor building sites inputs for fuels analysis, an emergency core cooling system, valve design deliverables. We also submitted Revision 3 a method by which the emergency planning zone size will be established. Testing support of the SDAA is ongoing at the NuScale Integral System facility in Oregon. I want to underscore an important facet of our test efforts. The fact that NuScale has reached test mode shows that our efforts are real and they’re removing quickly toward manufacturing and commercialization. This is a huge differentiator, vis-à-vis other advanced technology providers. Finally, the SPD is well underrway with completion still projected for year end. By completing the SPD in advance of any construction activities, our customers can be confident that we have thought through the challenges of deploying all aspects through a NuScale plant. Leading this SPD at our expense saves our customers money, that they can then allocate precise specific design changes, as opposed to helping put the build for the design of a plant. We are pleased with our progress on these near-term objectives. Furthermore, we attain important accomplishments outside of these five priorities. Let me elaborate. Most importantly, we form the new Voyager Service and Delivery business unit, or VSD. This unit will be comprised of services, supply chain and client management functions. The VSD will help us to more effectively deliver our Voyager plants and services, which in turn will help our customers more easily operate and maintain a Voyager plant. This unit is a key step in our maturation from an R&D organization to a product services and delivery enterprise. The VSD will be led by Tom Mundy, who previously served as Chief Commercial Officer, Managing Director for the United Kingdom and Europe and the Vice President of Program Management. Prior to joining NuScale, Tom served as founding CEO and President of Exelon Nuclear Partners, LLC. The operating and services arm of a well-established nuclear generating company. I believe Tom skill and expertise will lead VSD to a great success. During Q2, we also made some significant progress in partnerships. Most importantly is the license agreement with our partner Paragon, which will enable widespread use of our NRC-approved Highly Integrated Protection System or HIPS platform. Paragon is a great partner for us. For over 30 years, they have provided the nuclear sector with established technology solutions, such as instrumentation and control systems, sophisticated and repair programs. The HIPS platform is the latest iteration of this track record of success. HIPS platform is an efficient cost effective and cyber secure reactor protection solution. We develop the HIPS platform with Paragon’s Rock Creek Innovation subsidiary, which develops safety critical applications. Our objective is to make the HIPS technology available to the entire nuclear power industry, enhancing the safety of all nuclear plants improves public perception of nuclear power, thus supporting our own marketing efforts. We also announced a collaboration with Lightbridge Fuel an advanced nuclear fuel technology company. The DOE awarded MIT $800,000 to study the use of Accident Tolerant fuels in our SMR. By studying and simulating the usage and safety performance of their fuel, we have the potential to improve the safety profile of nuclear energy, even further beyond a substantial improvements offered by our SMR design. Now let’s move to the latest regulatory developments. Two weeks ago, the NRC voted unanimously to approve the design certification of our SMR. The vote represents the final NRC approval of our design. We are the only SMR vendor to submit an application design approval in the only SMR design approval so far by the NRC. We anticipated this approval in large part because the NRC had already issued a standard design approval for our 50 megawatt design back in 2020. Once an SDA is issued, the final rule is overwhelmingly likely to be awarded. To avoid confusion, keep in mind that our fourth near-term objective, the SDAA refers to our newer 77 megawatt 6 module design. The honest development, which applies directly to us, the general support for nuclear continues to grow. For example, at this year’s G7 Global Infrastructure Partnership Summit, President Biden reaffirmed our country’s pledge to combat climate change in part by supporting our SMR deployment in Romania. This is a key demonstration of the White House partnership for global infrastructure in investment and a major accomplishment for our business. Furthermore in Europe, member countries are advancing to reduce greenhouse gas emissions based on their nation’s energy portfolios and infrastructure. We applied the EU latest decision to rightfully include nuclear technologies a form of green investment under the EU taxonomy. The Europeans are starting to realize that nuclear is critical to their future. In fact, it’s somewhat surprisingly given their stated stance on nuclear, Germany recently decided not to retire the remaining three nuclear power plants due to the dire need for this clean source of power. Now I’d like to turn the call over to Chris Colbert to cover our financial results. Chris?
Chris Colbert: Thank you, John and good afternoon, everyone. I will discuss our second quarter financial performance, update you on a strong capital structure and financial position. Then wrap up with reaffirming our outlook for the balance of 2022. You can find all the detailed figures and numbers in our earnings release. So I will focus on the primary drivers of performance. All the figures I referred to will be for the second quarter of 2022, unless I note otherwise. As Diane noted at the start of the call, this earnings release in our 10-Q will report NuScale results for the entire three and six months ended June 30. Note that our income statement includes only NuScale expenses. We are not including Spring Valley expenses prior to the merger, and they had no expenses subsequently. Since revenue is still small, our focus is on effectively applying our operating expense budget. As you would expect with funding in place in May, OpEx grew versus Q1 as we ramped our commercialization plan. R&D expenses increased due to higher professional fees associated with the standard plant design. We also increased headcount to support our licensing team. The increase in G&A resulted from new hires across the organization, partially offset by lower accounting and finance fees. We spent more on sales and marketing as we built our sales teams and incurred travel expenses as our team worked secure contracts around the world. The DOE cost share increased as we incurred higher qualifying costs. Having covered that we did generate revenue in the quarter, and it was somewhat higher than the first quarter. The better top line was due to higher procurement and construction activities, supporting new ramps, which is cost shared with DOE, more customer early works agreements launching and more consulting services. All in our loss in Q2 was a couple million less than the loss in Q1. Looking at other uses of cash. CapEx was minimal consistent with our asset light model. CapEx was mostly for software and computer hardware to support R&D. Looking ahead, we are well funded to meet our financial projections over the next several years. Our $351 million in cash, and no debt gives us substantial financial flexibility and years of run way. Let me move now to considerations around our share count. Not surprisingly there is some confusion, which is a natural result that the complexity associated with our transition to being publicly traded. The slide deck accompanying this call includes a breakout of the share count and how it is determined. Let me walk you through some of the key calculations. At quarter end there are over 42 million shares of Class A common stock outstanding, and over 178 million shares of Class A common stock issuable upon the exchange of NuScale LLC Class B units. The Class A common stock represents the equity raise during the merger with Spring Valley Acquisition Corp. It is comprised of 14.4 million shares from Spring Valley Class A shareholders, 3.9 million shares from Spring Valley founders and 23.7 million shares from pipe shareholders. The NuScale LLC Class B units represent the legacy shareholders of NuScale Power. These legacy Class B units are exchangeable into to Class A shares. In the coming quarters, we expect that shareholders not subject to lockups will elect to exchange their Class B units to Class A shares. There are also more than 35 million shares of Class A common stock issuable upon the exercise of outstanding stock options and warrants and 1.6 million shares subject to earn out. Outstanding stock options totaled $14.7 million, public warrants comprise $11.5 million and private placement warrants amounted to $8.9 million. All warrants are eligible to be exercised over the next five years at a strike price of $11.50. Given that the market value of NuScale common shares has turned in nicely above this strike price level, we have assumed the full exercise of all warrants and related earnouts in our calculation of fully diluted shares. So adding it up on a fully diluted basis, we have 257.2 million shares. If any of you need further color on the share count, please reach out to our IR team. We are happy to walk through the calculations in more detail. We understand the level of complexity around the multiple transactions and want to ensure that everyone following us fully understands how we arrive at our ownership structure. Finally, a quick reminder, we are reaffirming our projections for 2022. This is the same outlook first shared in December of last year and blessed again in early June on our Business Update call. We are confident in our business plan and happy to see progress is anticipated. Let me turn the call back to John to conclude. John?
John Hopkins: Thanks, Chris. Before we go to Q&A, I want to leave you with a few observations to reinforce why I’m so confident on our future. First, demand for clean, safe nuclear power is building all over the world. Our industry leading technology will enable us to supply the world with a carbon free base load power if needs to fight climate change. Second, the industry is increasingly recognized that NuScale’s next generation nuclear technology is safer, more versatile and more cost efficient than ever. Our level of safety far exceeds the already high standards of currently operating plans, which uses decades old technology. And finally, we are making great progress on our five near-term goals, which are securing additional committed customers, issuing long lead material specifications, completing the reactor building design, completing our standard plan designs and advancing our standard design approval application with the NRC. We are highly confident, we can achieve these goals by year end. With that, we’ll turn to question. Operator, we’re ready to begin the question-and-answer portion of the call, please.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Marc Bianchi with Cowen.
Marc Bianchi: Thank you. I guess, starting with maybe for Chris, you’ve got the revenue outlook that you’re reaffirming here for the year. I’m curious how we should be thinking about cash use in the third and the fourth quarter. Should that be something that’s sort of shrinking closer towards a breakeven level or maybe any help on where cash balance is expected to end the year?
Chris Colbert: Yes. So in our projections, we did in December of last year, we short of used, I think of $155 million of free cash flow of this year. And so we’re still tracking to that. So when you look at what we had in hand plus what we had for the first half of the year you should be able to come into a cash number at the end of the year. We didn’t break that out separately projected, but I believe you can derive it from the information I just cited, Marc.
Marc Bianchi: Yes. No, no that’s super helpful. Thanks. I’m curious, with the most recent announcement here in the industry with Dow and X-energy, which I thought was kind of interesting. How do prospects like that look for NuScale? Are there industrial applications that you’re discussing with customers that could be something that happens this year in terms of an announcement? Or are those sort of further a field for you?
John Hopkins: Yes, Marc, this is John. At first I applauded X-energy and that we don’t want to be a monopoly. We don’t want to see other technologies advanced. Dow is a – in fact I was at the conference in Houston and during the discussion with the Dow CEO commented that they were looking at SMRs potentially for process heat and which we believe is a sweet for us as well. I mean, as you know, NuScale doesn’t have to be tied to a grid for safety purposes as proven to the NRC. So at the end of day, having companies like Dow and others who are looking at process heat, perhaps hydrogen or ammonia production we can be right next to the end user. So companies like Dow, I think are pretty forward thinking and looking – and they’ve been doing this for quite some time, it wasn’t just out of blue. So the answer is absolutely we have abilities to have others similar to Dow utilize our technology.
Marc Bianchi: Okay, great. Maybe just one more on the UAMPS and carbon free power project. I think there’s some cost estimates that Fluor’s working through there. Can you maybe talk to the next milestones associated with that? And how investors should think about, I’ve gotten the question a few times, like what’s the possibility of cost coming in higher than expected and kind of risking the project viability. I’m just curious for what you guys can share on that.
John Hopkins: Yes, Marc, John, again. I was actually at a project review a couple weeks ago, which was with the UAMPS management team from CFPP, Fluor attended. Also, we had a Japanese manufacturer, we went through the numbers. As anything, there is some escalation in commodities, which is across industry. However, having suppliers such as the Dyson and the Samsungs of the world and also minority shareholders, they’re willing to really sharpen the pencil. So they all – our supply chain anticipates there will be some increases, but at the end of the day, we’ve all got to be ensure that this project successful. So the meeting went well. There were a lot of pluses in terms of what was announced and things that are getting done on that project. So I feel again, as I said, if with gas prices where they are around $8 million per BTU I feel pretty comfortable. We’re going to come in a target price that’s going to be well received by the customer.
Marc Bianchi: And what’s the timing on sort of the next update on that? Is that something we should be looking to Fluor for an announcement or would that come from you guys?
John Hopkins: No, that would come from Fluor. They’re in the process of finalizing their Class III, as you know, there’s five classifications of estimating. So they’ll be working towards their Class II up to Class I. So I suspect here within the next month, or so there should be an announcement coming out from the customer.
Marc Bianchi: Super. Thanks so much. I’ll turn it back.
Operator: [Operator Instructions] We’ll take our next question from Shar Pourreza with Guggenheim Partners.
Shar Pourreza: Hey guys, how you doing?
John Hopkins: Good. Thank you.
Shar Pourreza: Just another topical item just around the Inflation Reduction Act. Just curious, is there any sort of benefits that we should be thinking about to SMRs and NuScale in general, where do you guys kind of view it for your internal planning purposes as neutral? Just trying to get a bit of a sense at the potential implications there.
John Hopkins: That’s a great question. As you can, well imagine we’re all around this as well as others and Chris probably better serve for you to answer. You’ve been closer to it than anybody.
Chris Colbert: Yes. So point right here, this includes Chief Financial Officer role as I manage our government relations and there’s been a lot of discussion about the Inflation Reduction Act. One was a big surprise to everybody. Two, it’s taken a while for people to get their heads around it. Three, our general assessment is that it does provide benefits for customers who would invest in clean energy technology above and beyond what they currently enjoy. And we think that our customers would indeed benefit from that. But we have asked our customers, what it specifically means to them because there are a number of requirements, other callouts and factors that come into play. So we’re kind of waiting to hear, one, see it pass on Friday we hope. And second to hear from our customers, how that factors into them and how we can make sure that we get the greatest benefit of that act for them in terms of how we structure our contracts and deliver the project. But, generally speaking it certainly, we think should be a positive if that would defer to our customers to help us interpret the benefit there. But if it does have that benefit, we would expect to see that flow into our really customer action as we go forward in the year as they evaluate and rethink about what they may do investment wise in clean energy.
Shar Pourreza: Got it. So no concerns, I guess, internally around sort of the fact that it’s, I guess trying to incent other technologies as well under the legislation soon as it get passed.
John Hopkins: We don’t see that Marc.
Chris Colbert: Yes. And in particular, Marc, there’s one section that that goes in specifically, it was a concern of Senator managing where to make sure that it was a technology neutral. And so for technology going into construction after 2024, I think it’s really measured based upon what they output in terms of carbon dioxide and we don't even met in the production of megawatt hours, carbon dioxide. So we're in an equal footing with your wind and solar.
Shar Pourreza: Got it. Okay. Appreciate that. And then I think you sort of touched a little bit around some of the pressure points from an LCOE perspective on UAMPS. But just maybe on the business itself, are you seeing any areas of maybe above plan drags on cash at this point?
Chris Colbert: So you want me to take that one, John?
John Hopkins: Yes, please.
Chris Colbert: Yes. So, in reaffirming our outlook for 2022, that includes what we saw for use of cash. And we monitored very tightly what our spend is, but we haven't yet seen any negative impact in terms of an increased drag on cash for 2022. That said, we'll be continuing to monitor it, but most of our spending is in costs for labor, for employees and staff, and then for labor, that's provided by our contractors such as Fluor and Sargent & Lundy. And as we see perhaps some labor pressures flowing through there, you may see some of that come through, but as of now we're still tracking to what we projected at the end of last year in terms of cash usage for what we need to get done.
John Hopkins: Yes. Marc, and as you know, cash is king for us. So be a good steward of that. Cash is critically important and all our vendors who submit their invoices to us, go through a rigorous process to prove competitiveness. So we feel pretty comfortable right now.
Shar Pourreza: Okay. Got it. And then just lastly, the process, obviously with the Romania appears to be, I guess, one of the more advanced next to UAMPS, and you've got the MOU, your building simulator, I guess just what's next in the process. What should we be looking for our timing?
John Hopkins: Yes. This is John Hopkins. I was in Romania about three weeks ago. I met with their prime minister and their energy minister, and they again indicated the importance of this project to the country of Romania for predominantly energy security as well as climate disruption. But the next process is the schedule towards the end of August. The CEO of Nuclearelectrica is coming with his team to Corvallis, we're going to sit down. And then from there, they'll go out to the project to and they'll sit down with us to go through the project sequencing and scheduling. They're excited to move this as soon as they can. Another good plus on this is we know their regulators are in communications with the Nuclear Regulatory Commission, having gone through the rigor of that NRC. They don't want to have to reinvent the wheel. They will in fact, put their solvent stamp as Romania that they're more than willing to utilize data from the NRC, which is very important.
Shar Pourreza: Perfect. I appreciate it guys. By the way, it's Shar on for Marc. Thanks so much. Appreciate it.
John Hopkins: Thank you.
Operator: [Operator Instructions] We'll take a follow up question from Marc Bianchi with Cowen.
Marc Bianchi: Hey, thanks. Maybe a couple other points that were updated in this quarter. So you have the Lightbridge announcement there. How does that compare to some of these other fuels that we've heard like TRISO that's out there. How is it different? What is it looking to do that might be similar or different? And then is the thought that if successful, you could drop this fuel into your existing reactor design or would there need to be a lot of change to how the reactors put together?
John Hopkins: Yes, I've asked Dr. José Reyes that same question, and we don't need Accident Tolerant fuels because of our safety design basis of this design. It's not required. However, we are working with him and maybe future state and years to come, there could be an opportunity use Accident Tolerant fuels. So, but nothing near-term. Chris, do you have anything to add?
Chris Colbert: It does really represent an opportunity for us to improve upon potentially the performance of our design. And as well as providing added benefit in terms of the Accident Tolerant aspect, which does figure into some way in the EU taxonomy. So it could be helpful in both those areas, but it's not required for what we're currently doing. And we see as being truly a benefit if it comes up the way that we think it would.
Marc Bianchi: Got you. Okay. And then the other one was just on the Paragon agreement. My understanding was not part of the business plan that you had put together and presented. So it would be incremental. One, I guess, correct me if that understanding is wrong. And the next part of the question is what is the addressable market there for you? How big of a revenue and cash flow contributor could this become?
John Hopkins: Yes, Marc, this is John. We worked with Rock Creek for many years, that was acquired by Paragon and development of the HEPS program. And we've entered into an agreement, a revenue sharing agreement with Paragon. However, I don't know necessarily that in terms of near term that revenue's being derived is going to be really material, but it's just one that it is a pretty innovative process and having gone through it, we talked with Paragon, we felt that it should be opened up to the marketplace and not just limited to NuScale alone.
Chris Colbert: In terms of the addressable market, Marc, it really could be used for retrofitted existing reactors if they wanted to replace their analog systems and any new reactive design coming through, if they wanted to take advantage of it, could use it. And it has a benefit of being approved by the NRC in terms of as a safety platform. So that has great attraction to people. So really – whatever we're not able to even though John doesn't want to be monopolize – whatever we don't monopolize in the market out there potentially could be these systems providing the safety function for those other designs that do get into the market.
Marc Bianchi: And it's something that would be sold as a service, more likely than sort of a one and done equipment or sort of application sale?
John Hopkins: Yes, it's tied to revenues that they gain off the sale of the what they embed in the overall product.
Marc Bianchi: Okay. Super. Thanks so much, guys. I'll turn it back.
Operator: [Operator Instructions] All right. And at this time, there are no further questions. I'd now like to turn the call back over to John Hopkins for any additional or closing remarks.
John Hopkins: Well, thank you operator, and thanks to all of you participating in our call today. Before we conclude again, I'll turn it back over to Diane, who'll discuss upcoming investor events at which we will be present. And we're looking forward to our next earnings call. Thank you very much. Diane?
Diane Hughes: Thanks John. We currently have three investor conference appearances scheduled for August and September. Please note attendance at these conferences is by invitation only for clients of each respective firm. So interested investors, please contact your respective sales representative to register and schedule one on one meetings with us. Tomorrow, August 11, we'll participate in the Raymond James Aspen Energy Summit and Aspen Colorado. In mid-September, we plan to present at the UBS Global Energy Transition Conference in London. On September 14, we will present at the Virtual Energy and Utilities Access Day hosted by the New York Stock Exchange. With that, we will conclude today's call. Actually we'll make a press announcement soon to share more specifics around our planned investor conference appearances. With that, we will conclude today's call. Thank you for your participation. You may now disconnect.
Operator: Thank you. And that does conclude today's presentation. Thank you for your participation. You may now disconnect.